Operator: Good day and welcome to NESR's Fourth Quarter and Full Year 2020 Earnings Call. With me today is Sherif Foda, Chairman and Chief Executive Officer of NESR. On today's call, we will comment on our fourth quarter results and overall performance. After our prepared remarks, we will open up the call to questions. Before we begin, I'd like to remind our participants that some of the statements we'll be making today are forward-looking. These matters involve risks and uncertainties that could cause our results to differ materially from those projected in these statements. I therefore refer you to our latest earnings release filed earlier today and other SEC filings. Our comments today may also include non-GAAP financial measures. Additional details on reconciliations to the most directly comparable GAAP financial measures can be found in our press release, which is on our website. Finally, feel free to contact us after the call with any additional questions you may have. Our Investor Relations contact information is available on our website.
Sherif Foda: Thanks, Chris. Ladies and gentlemen, thank you for participating in this conference call. We're very pleased with our continued solid performance this quarter. We are extremely proud to see how we expanded in 2020, delivering a record growth of 27% year-over-year in full contrast to the industry. As a matter of fact, this is the highest year-on-year growth since the inception of the company or any other previous year for the combined businesses. As a reminder, we did grow in 2019 at 19% versus 2018. This demonstrates our ability to weather the market, the industry, even in the presence of a worldwide pandemic. As I have mentioned in the past, I believe these results and our accelerated growth reemphasize that we are an outlier in the OFS space when compared to the rest of the industry. Our focus and execution capabilities, determination to the region, our flagship as the MENA national champion and our customer centricity allow for a clear path to continue to grow at this space for the foreseeable future. Middle East was and is going to be center of the oil and gas industry going forward. And all this development further reinforces this narrative, and I believe we have the front row seat in capitalizing on our unique positioning on the ground strength and customer relationships. I would like to really thank our troops in the field who have managed to achieve all that despite the pandemic. We never turned down a single job for any of our clients. We have maintained close proximity to our customers and worked faithfully with them to manage the work schedule, planning of personnel and equipment, spending significant amount of resources, testing facilities, expanded accommodation and special flights. We absorbed all these costs and did not ask for any compensation due to these unforeseen circumstances. Yes, we do understand it did cost us a significant strain on our people being away from home for a long time, working long hours, quarantine in advance to be ready to go the jobs and increase of our cost of operation. However, we truly believe that this is our duties and obligation as the trusted adviser and partner to our clients. We need to be there for them as the first reliable source of services. I'm extremely proud of our field crews and honored to be one of them, serving our clients as best in class in the industry. I spent the majority of the time in the Middle East in September, and I can tell you from personal experience how tough it is logistically as I had to be PCR tested about 35 times to travel between all the different countries. I did manage to visit the majority of them, and I was very fortunate to be able to see my dear customers and have plenty of face-to-face time with the senior management.
Chris Boone: Thank you, Sherif. As Sherif mentioned, we reported quarterly revenue of $213 million. This represents an increase of 15% over the prior year quarter and a 2% decrease over the third quarter. For the full year, revenue increased 27%, a significant achievement in light of market conditions. The sequential decline in revenue was primarily driven by lower production activities in several markets late in the year, as Sherif has mentioned. This was partially offset by higher evaluation services. The year-over-year quarterly increase was primarily driven from the addition of the unconventional product line and associated services. This was partially offset by decreases in other markets related to lower commodity prices. Adjusted EBITDA in the fourth quarter was $55 million or 26% of revenue. This represents an increase of 6% over the prior year quarter and a decrease of 2% over the prior quarter. EBITDA adjustments of $1.9 million for the quarter are mainly for integration costs associated with the recent acquisition and other restructuring activities. Despite the market conditions, we are pleased that our adjusted EBITDA margins have held steady. We incurred additional costs this quarter, primarily related to non-cash charges for actuarial end-of-service benefit liabilities of nearly $3 million and significant COVID-related costs, COVID-related labor and supply chain inefficiencies costs. With the onset of the second wave in Q4, we experienced extra costs related to additional testing, transportation, lodging and labor mobility. Despite the increasing level of vaccinations in many markets, COVID restrictions have increased during the fourth quarter. We don't expect these costs to mitigate until later in the year. COVID and end-of-service costs were offset by a gain of $9.6 million on earn-outs from the recent transaction as the final amount paid was less than originally estimated and provided for. These are real savings to cash and issued shares and lowers our basis in the transaction. This was achieved primarily from increased business levels and the improvement in our share price. As is our practice, we did not reflect any of these COVID related or other items in EBITDA or EPS add-backs. Moving to our segments. Our Production segment revenue for the fourth quarter was $136 million, growing 12% over the same period last year, but declining 9% over the prior quarter. Full year revenue was up over 37%. Adjusted EBITDA margins for the Production group were 29% in the fourth quarter, flat sequentially. Associated pass-through revenue was at the same level as the prior quarter. Separately, our Drilling and Evaluation segment revenue of $78 million in the fourth quarter was another quarterly record, up 21% compared to the same quarter last year and 11% sequentially. Full year revenue increased 10%. The increase over the third quarter is primarily related to higher evaluation activity in Saudi Arabia. Adjusted EBIT margins of 25% in the fourth quarter were up from 24% in the prior quarter due to the favorable mix of evaluation services and leverage on higher revenue. Depreciation and amortization decreased $29 million in the fourth quarter compared to $32.2 million in the third quarter. Most of this decrease was due to a fixed asset valuation adjustment from the final purchase accounting of the recent acquisition. We expect D&A to run in the $31 million to $32 million range per quarter in the first half of 2021. Interest expense in the fourth quarter was $3.4 million, down slightly from $3.8 million in the prior quarter. Our effective tax rate continues to track well below the rate seen in 2019, as we continue to optimize our tax structure. Reported effective tax rate for the full year of 2020 was 17.6% compared to the full year 2019 rate of 24.9%. Excluding the benefit of this quarter's earn-out gain, which is non-taxable, the full year 2020 rate would have been 20.9%. We expect the 2021 effective tax rate to run in the lower 20% range. This resulted in reported net income of $16.5 million or $0.18 per diluted share and adjusted net income of $18.5 million or $0.20 per diluted share for the fourth quarter. Switching to operating and free cash flow. We are extremely pleased that we were up significantly sequentially, with operating cash flow increasing to $49.3 million from $33.5 million last quarter and free cash flow increasing to $33.3 million from $8.7 million last quarter. For the full year, free cash flow was $44 million, a meaningful improvement over the negative free cash flow of $19 million in 2019. The sequential operating cash flow improvement was accomplished mainly due to higher collections of over $25 million from the hard work of many employees. However, we did experience less collections than expected in the final weeks of December as many customers closed their payment processes earlier than expected. This was offset through our own supplier payment management. These collections were caught up in January. Capital expenditures in the fourth quarter were $16 million, down from $25 million in the third quarter, which also helped the improvement in free cash flow. This reduction was due to the lower new CapEx orders placed in 2020 and approved utilization. A big portion of our cash capital expenditures in 2020 were for CapEx ordered in 2019 and not received or paid until 2020. In 2021, we expect capital expenditures to be flat with this year to support planned growth and pay for existing commitments. Free cash flow in 2021 should significantly increase over 2020 due to flat planned CapEx, continuous improvements on fleet utilization and improved DSO. Also a positive, net debt decreased to $323 million at the end of the fourth quarter compared to $349 million at the end of the third quarter. The sequential decline is primarily from higher cash balances from improved free cash flow. As of December 31, 2020, our net debt to adjusted EBITDA ratio was 1.6, down from 1.7 last quarter and should reduce to our target level of approximately 1.5 or lower in future quarters. Also, we remained in full compliance with our primary credit facility financial covenants in the fourth quarter. In conclusion, NESR again strongly outperformed the market in revenue growth and margins in 2020 through our regional focus and strong operational execution, while still generating positive and strong free cash flow. We expect the same momentum and more going forward. With this, I'd like to pass back to Sherif for his final comments.
Sherif Foda: Thanks, Chris. In conclusion, I would like to leave you with key takeaways. We continue to manage the COVID situation better than anyone, and we maintain a very close contact with all our customers. We are very optimistic about 2021 and believe we will have another stellar growth and performance year. We continue to invest and hire, and we see no delays in the coming quarters. We're very proud to launch our ESG Impact segment and focus to contribute to the new mindset change in the industry. On that note, I would like to pass the call back to the operator for your question. Thank you.
Operator:  Our first question is from Sean of Meakim with JPMorgan. Please proceed with your question.
Sean of Meakim: Thank you. Hi, good morning.
Sherif Foda: Good morning, Sean.
Sean of Meakim: So Sherif, I think the ESG initiatives are really encouraging. Could you maybe just talk about how this influences your prior five year plus 20% CAGR goal that we had a few years ago? Does this help sustain that growth rate? Does it layer incremental growth? I'm trying to think about when this could become material to overall financials. And then how should we just think about the need for capital deployment, whether it's CapEx or M&A to help you deliver these services to your customers?
Sherif Foda: Thanks, Sean. So it will be an incremental. The idea there is, as we clearly put it, that we have our core business that should continue to grow at that pace or higher. And ESG Impact segment should be an incremental to that. I would say taking the size and the acceptance from the customers, taking a project to implement with - obviously, with all this COVID restriction on delivering and et cetera from - usually from, as you saw, the one is in especially the water one in Holland, one in Australia. I would say you would see something towards the end of this year, and then you start to see the materiality from the following year. And that would be - we start to see - and that's why we start going to report this separately, right? Now for your second part - or second question on the CapEx I mean, obviously, we are producing solid free cash flow. We will continue to do this, and we will do much better this year than previous year. So we don't have any issue to fund all our growth organically. Now if we have a big M&A coming or something, definitely, there is a lot of other opportunity to be able to issue shares, et cetera, or do something. There is a lot of ways for us to be able to do that if we need to. I mean our - you saw our covenant, and Chris talked about this in details. We are in a very well position. Our interest rate, still at 2.5%, which is, I think, the lowest in the industry. So we have plenty of room to grow there.
Sean of Meakim: Thank you for that. I think that's helpful. So then just to follow up on your comments right there, Chris noted you're expecting a significant increase in free cash flow in '21 with flat CapEx, improving working capital and then cash amounts  otherwise getting better on a higher growth rate. It's also worth noting your equity currency is a lot stronger than it's been in the past year. So in that context, whether it's the ESG initiative or more broadly, how should we think about uses of cash and potential M&A in '21?
Sherif Foda: So yeah, we have, as I had mentioned earlier, we have very good plans for M&A. The discussion is ongoing, let's put it this way. Definitely, again, the COVID situation prevents some of the work, if you like, like due diligence, sending auditors, sending lawyers, et cetera, so that kind of delays things a bit. However, I'm still very optimistic of closing a deal, hopefully, in this year. And definitely, there will be a lot of use of this cash.
Chris Boone: And Sean, this is Chris. As a reminder, assuming no other type of refinancing to change the payments, we'll have about $45 million, $50 million of debt payments required this year. So that will also be a use of free cash flow.
Sean of Meakim: Understood. Thanks.
Operator: And our next question is from David Anderson with Barclays. Please proceed with your question.
David Anderson: Hey. Good morning, Sherif.
Sherif Foda: Good morning, sir.
David Anderson: So I wanted to get your perspective on the cadence of upstream spending in the Middle East over the next, say, 12 to 18 months, and kind of how you're seeing it today. Are your customers still largely in sort of a wait-and-see mode with respect to kind of global demand? We're not hearing a lot about big tenders other than your Oman award, which you talked about. So should we be thinking this is a steady ramp-up in light of, say, the excess supply in Saudi and the like? Or could we see an early inflection that's more substantial? Your larger peers talked about second half pickup. I'd just like to know kind of where - how you kind of see things playing out?
Sherif Foda: I agree. It's the second half pickup. So the way it works, David, as you know very well, most of the NOCs are very long term, very savvy. They understand exactly there might be spikes in demand. They understand as I explain - try to explain on the macro that nobody else is investing anywhere in any big project. Nobody is doing any new discovery. People are not replacing their reserves. There is obviously some sentiment of negativity on some other places outside the Middle East. So they understand that when spikes happen, they need to be ready. Obviously, Saudi is definitely always the - that has the biggest capacity and biggest surplus that they can put to the market in a very short notice. So - but everybody, if you look at their activity, they are flat. They are not decreasing, and they are picking up the rigs, as I said. So the rigs are being picked up. Today, if I look from what happened the exit of Q4 to already now, we are at end of February, you already have some increase of rig count in several countries. And this is going to continue. My personal opinion, people are underestimating the spike. I think the H2 is going to be much stronger than what people think. And I think the NOCs will put rigs into motion because I believe that they would be needed to get some production around, right? So at this - this is obviously, you have the big NOC. Now if I look at the market where it's an oil price dependent, this will see a significant, like very sharp increase of activity, especially it went almost to zero. And that's like, for example, Erbil, north of Iraq, some places in Egypt, some places in Libya. All this will put a significant amount. At $60, these guys are very profitable. So you will see a pickup in rigs. So overall, I would say, yes, they are looking into the global market, the global demand. Definitely, everybody is looking for the vaccine. If things turn to be the positive and in summer, you kind of see a line of sight, very clear, the vaccination and people are going to start to travel again and opening borders, you will see, I would say, much higher activity than what people are anticipating. And that's why, as I tried to say in my prepared remarks, we are preparing for that. We are preparing for that from investment in people and CapEx, front-loading as well as some of the equipment to ensure that if the customer say in two weeks, I need another two or three fleets, 10 more crews on XYZ, I'm ready.
David Anderson: That was actually my next question there, Sherif. So a year from today, you're going to be a lot busier. So I'm just wondering how are you thinking about the number of people you need to add, kind of the equipment you have on hand. I don't know if there's a way. We don't usually think about service companies in terms of utilization, but maybe just sort of sense where you are there. And because one thing you're starting to see with some of the OFS companies in North America, you're starting to see some friction costs from labor and equipment, I think it goes back to work. So if you start ramping up over the next 12, 18 months, could this potentially be a bit of a headwind on your margins? Or do you need to kind of see improved pricing to offset that?
Sherif Foda: I'm going to be very honest, no, I won't see any improved pricing. I don't think there will be improved pricing. I would say, what will happen is some people are not ready at all. And they are extremely squeezed. They released a lot of people, and I did not. I did not release anyone. And we did plan for our activity. And we actually - even when the customer closed the tab, for example, in December and the - for their budget, I did not release the people. And I knew that people traveled and they cannot go back because the border would close in some countries. We kept the cost. We kept the hotel. We kept them staying there. We paid everything. We don't take it out of the results. We keep all these costs incurred, and we kept it in January. And that's how you, I would say, maintain that very close with your people. And I know it costs us money, but that's how we are ready, and the others will not be. So I would say, I do not see a problem myself in our operation. And I repeat, if the customer adds significant amount of need for crews, et cetera, I will be ready on a very short notice, and others will not be.
David Anderson: Great. Thank you very much.
Operator: Our next question is from George O'Leary with Tudor, Pickering Holt & Company. Please proceed with your question.
George O'Leary: Morning, Sherif. Morning, Chris.
Sherif Foda: Good morning.
Chris Boone: Morning, George.
George O'Leary: I wanted to start off - piggyback on one of Sean's questions and somebody else's comments on free cash flow. I think Chris said up materially in 2021. So kind of a two-part question. Any color on the magnitude of the free cash flow jump year-over-year in 2021? And should we expect that to be distributed evenly throughout the year or second half weighted, given the earnings growth likely occurs in the back half? How do you think about magnitude and shape of that free cash flow throughout the year?
Chris Boone: So I mean, obviously, we're not giving specifics, specific guidance, but I think with a reasonable growth rate. And with the metrics we've said, something in the - at least the $75 million, $80 million range should be very achievable. And we'd like to exceed that as well. But as a starting point, we think that's a good - that's a starting point for that number. As far as timing, I'd say it might be a little more second half. It really depends on how collections, they're always a little spiky, one quarter to the next. But I wouldn't say it's going to be significantly different, one quarter over another.
George O'Leary: Okay. Great. Very helpful. And then you guys have talked to increasing in the last few quarters about some technology investments you've made and some partnerships on the water side on this call and also the climate change or GHD in methane emission side. Just curious if you could update us on those technology efforts, things like deep imaging, key bars  again, you already hit water and GHD, but those other investments that they all start to talk about a quarter or two ago. Any update there would be helpful.
Sherif Foda: Yeah. I mean we had a very, I would say, unfortunate - that's the biggest unfortunate of the COVID actually is the new technology implementation because of the people that are not there and to set it up and sending all the people, equipment, et cetera, et cetera. And the client, obviously, always put all these things kind of the back burner because of the - it's the kind of nice to have or it's a trial for something new. So they say, okay, let's put the new technology after everything. Now it's only business essential, right? So I think the delay in some of these initiatives did happen. I would say the key bars  because of the necessity, I would say that this would be the number one once it opens up and we would be able to send the crews and they start to have the field trial with the customer, I would say, would be the number one. And I would say that the stuff that is like the sort of deep imaging, for example, would be the last because that's how the clients perceive this seismic. I know how I'm going to see that, where is the frac, et cetera. Usually, that gets the last part of the equation. What we - just to give you more color on some of the other initiatives, we put some investment and another two. We do not still declare their names for confidentiality, but we invested in another two companies with some very unique technology. And we're very excited about it. So our efforts to keep investing never stopped. And that's - I think that's why we keep saying that we are different than everybody else, and we are outlier because we keep investing actually when everybody is like closing the tab and tightening the belts. We're actually investing quite a lot in some of this very unique technology to make sure that we start to see the fruits of this implementation from, I would say, from H2 this year.
George O'Leary: Thank you very much.
Operator: Our next question is from Igor Levi with BTIG. Please proceed with your question.
Igor Levi: Hi. Good morning, guys. So in the last two quarters, we saw you win a major renewal in Oman and some new work in Oman and Kuwait. Could you talk a bit about the timing of any other upcoming renewals that you guys have?
Sherif Foda: So renewal or tendering our existing work, we have a good pipeline. Some of it is coming next year, some of it coming in '23, '24. So it's kind of well laid out between the different countries. Some contracts are coming towards, for example, this year that is very crucial because it's kind of binary. So you need to win or you have to be there. Otherwise, there's only one awarded supplier. The rest of it is going to just be - I don't want to be - I know I'm not saying we are very comfortable. But I mean, most of it is just going to be renewed. Now are you going to be the number one, or number three or number four, that's the difference, right, because it's a multiple award with multiple companies. We're more excited actually on, as I tried to explain, that we are tendering a couple of nice major contracts, and we are expecting the awards in the next couple of months. The indication is very positive. So I'm very excited about it, and this is going to make it like a new entry or a much larger size on some countries of the current position of the company. So it's very important for us to get that because that's - the key for us is to expand outside the two strongest countries, right? And I think the very positive part obviously was Oman. And as we explained it before, is because we have now this till 2031, 2032, right? So we don't have to worry about it for some time. Plus, we have very solid initiative with the government and the customer to implement some very, very ESG initiative that is extremely important for the country. And we are very proud to be part of it that will make a difference, again, not just for our business but for the country itself, right? So I would say, Igor, just to summarize in a word that, yes, we are very comfortable with our contract position.
Igor Levi: Great. Thank you. And on the ESG segment, could you talk a bit about the economics behind the water processing technology that would really make this initiative take off? I mean how much lower do you need to bring down cost of processing water to make it either drinkable or in the case of the sulfate water usable in wells?
Sherif Foda: So if I - obviously, without giving any confidentiality here. But just to give you a factor, it's a factor of six. So just imagine that whatever - today, the technology that exists costs six times and that's why it's totally uneconomic. And that's why the whole world is basically not doing anything about it, to be honest, as an industry, right? Today, as I said, 200 billion barrel, 100 billion of it is just thrown away, right, which is a crime, I would say. So there is a lot of this work, why? Because there is nothing economic. There is no economic metric that can make that water usable. Today, if you take the entire ecosystem and you say, purely from economic, you're still - obviously the cheapest way is just to leave it desert evaporate because it costs you nothing. But if you look at it from the whole ESG, what is this for the community? What is this for the environment? Is there is any of the solids dissipating to the aquifer going to the ground, et cetera. Then you say today, the technology to make it, if it costs you, let's say, $6, this technology will cost you $1. So I am taking that cost by a factor of six. And that's why, today, I personally believe that it is economical today to get this water. If I look at all the parameters of the country, the city where you are, instead of putting pipeline, disposable wells, et cetera, et cetera, et cetera, I think it is economic solution. Not everywhere, obviously, but in a majority or in plenty of places, it is economic. If I look at offshore, just to give you an example. If you are, for example, in a country like Norway, where you are not allowed to drop anything, it's a zero PPM, right? Then it is very economical, right? So it depends where you are. And I think it's definitely a breakthrough, and we should have a good, solid two projects, hopefully by before year end.
Igor Levi: Thank you. That's very helpful. I'll turn it back.
Operator: And our next question is from Blake Gendron with Wolfe Research. Please proceed with your question.
Blake Gendron: Yeah, thanks. Good morning, guys. Chris, I want to come back to the equity earn-out impact to margins. It seems like a $10 million or so, good guy. Offsetting it was $3 million end of contract payments, it seems. Now on the one hand, EBITDA margins across the segments probably would have been appreciably lower without the equity earn-out. Remember, just not sure how one-off it is really. On the other hand, you enumerated a number of COVID-related costs that you do include in results. So I'm just trying to level set what you think the - if you strip out everything, what you think the segment margins are and adjusted EBITDA margin is now. And then in terms of those covet costs rolling off in 2021, what the timing and kind of magnitude of that would be? Thanks.
Chris Boone: Sure. So for the fourth quarter, yeah, if you probably netted all of those together, we probably ended up with a net gain of a few million. So there was a little bit of an EBITDA boost because of that versus our reported. So that's - without going into all the minutia of all the calculations, so that's - you can run your math. It was pretty even across both segments.
Blake Gendron: Okay. That's helpful…
Chris Boone: And then obviously - and I tried to help with the EPS, try to with - again, we didn't do call-outs, but there was a little bit of extra help on lower D&A and a little bit lower tax rate that helped EPS by a couple of pennies.
Blake Gendron: Got it. Got it. Understood. Thanks. And then just coming back to the growth here. So obviously, ESG and SAPESCO are newer discrete items that we're going to keep up with and try to model separately to the degree of disclosure that you gave on that. I want to come back to frac, because frac was sort of the first incremental addition to the story a year plus ago. As we normalize here, I know the focus is still on natural gas development in some of the key basins. You had some perhaps oil exposure as well with some of the conventional frac spreads. Where does your frac operations stand today? And how do you think you see it scaling up as we normalize here out of the pandemic?
Sherif Foda: So Blake, I would say, the frac has been doing an outstanding job, more than outstanding, very proud of it. It's working around the clock. In my last visit in Saudi, for example, went visited the location, visit with the team, very motivated. The crew is on plan. Our efficiency is matching the US efficiency, very proud as well to work with my dear friend, Robert, next year. So it is on plan, and the development of the unconventional gas of the kingdom never changed. And I think they have their same commitment, their ESG philosophy and the transition - energy transition to gas, or power, renewable is extremely strong, and the kingdom actually have an amazing plan on renewable hydrogen. You might have seen some of the commitment that he said that 50%, they will be exactly like Germany by 2030. So they have a huge commitment on all these initiatives. And our plan is to have - to be a big part of that and remain the reliable supplier for them for the Jafurah and the others, right? So we have two fleets running in Saudi as is. And our plan is to expand that outside the region, outside - I mean, in Saudi. And we are in discussion, as we discussed last time, with the other three countries to have a fleet this year. So we should have my - as I'm always an optimistic guy, I am planning to have a fleet in H1 and a fleet in H2. So I'm still on plan to have two fleets in 2021 working in the region so - to have a total of four, so very excited. Nothing has changed in Saudi. If I may just give you more color, if you like, obviously, some of the newer projects in some other countries, that's got delayed, right, because of, obviously, what's happening in the world. So again, people are looking at the demand. Is this exactly what you need, because they are still in this exploration type of phase. So some of these projects takes much longer time than before. But you saw, for example, the announcement of the UAE with Total of the first delivery of unconventional. So everybody is working on it, and the region is not changing the course on the energy transition.
Blake Gendron: That's encouraging. Thanks. I'll turn it back.
Operator: And our next question is from Andres Menocal with Evercore ISI. Please proceed with your question.
Andres Menocal: Hey. Good morning, guys. And thanks for taking my questions. My first one was going to be maybe more on a regional basis. I understand some of the key drivers of activity within your main areas of doing business and think about Saudi a month or week, can I get your updated views on, let's say, some of the more growth areas that NESR's operated or maybe areas where there was a fair amount of volatility in 2020? Just looking to see if there's any updated outlook on how you think activity might pan out in areas such as Iraq, Algeria, Egypt, Africa. Just wanted to kind of get some color there.
Sherif Foda: I would say you would see some of them that will have significant increase, like huge increase. And that definitely will be led by Libya because of the geopolitical agreement between the East and the West. I would say Erbil in the Kurdistan region would have, I mean, a sharp increase because of the nature of the PSAs. Egypt should have as well an uptick from obviously the very depressed number, but it will take, I think, more time. But again, at this price level, all these fees are very economical. So the key becomes how many of the E&P companies that are working, for example, like a place like Egypt, are encouraged to start to put money and develop and have direct foreign investment. So I would say like the company - like Apache, like all these guys, how much would they put in to start up their projects fast in Egypt towards H2. The others, I would say, the national oil company, obviously, they will have a plan to, again, from an - from the - whatever it is, Q4 exit is going to be always an add. So it's going to be a plus year-on-year. Some, it's going to be very significant, and some is going to be flat to plus 5% to 10%. Our growth, obviously, if you want to talk about our commitment to Africa, is still very strong. And Africa is one of the regions where, obviously, despite the fact that from a number perspective, the COVID did not affect it as much as others, but still from travel, from restriction, from contracts, from geopolitics, from fiscal regimes, very complicated, a lot of delays. IOCs are not investing at all in Africa. And therefore, I would say, I don't see an uptick in Africa until 2022.
Andres Menocal: Great. Thanks a lot for that. My second question relates to a couple of things I would say on the ESG front. And correct me if I'm wrong, it seems like we think about the client - your clients' risk appetite for new technologies, it seems like maybe the attention or focus might be shifting towards ESG. And I appreciate the call-out of the areas of opportunities such as water, climate change, environmental waste. And I pair that against your earlier statement where such technologies as deep imaging and which could be a call for seismic and exploration activity. It doesn't seem like the decline risk appetite for new technologies is there. So if I think about maybe later here in 2021 with the next, let's say, climate conference for the UN in November this year, I think it's in Ireland. And I think about a lot of the, let's say, bullish outlook that I have and others have for Middle East natural gas activity, especially on the unconventional side. Do you think that there might be a risk for the Middle East in terms of natural gas as we think about the rising focus on emissions and reducing the GHD impact? And what role do you think that NESR could have in helping to meet the region's need for higher environmental standards, assuming that's the way that the world attention shifts later in 2021?
Sherif Foda: Well, if I answer this, I will take an hour to answer you. So I would tell you something in a very, very short answer. There is no change whatsoever on the energy transition from the big national oil company and their focus on moving to - big time to gas and its full blast. And they are going to have more and more saving to divert most of the liquid to export and use most of the gas for internal consumption. And that is the main drive of the region. In the meanwhile, they are all looking at all this initiative extremely carefully, and they are still proudly the lowest carbon footprint per barrel of oil in the entire world. So they know that very well, and they know that they are very, I would say, responsible compared to others. But meanwhile, they are working on all other initiatives to ensure they meet those metrics.
Andres Menocal: Great. Thanks for that.
Operator:  And our next question is from Mike Cahill with Crispin Capital. Please proceed with your question.
Mike Cahill: Hi, Sherif, congratulations to you and the team on another great quarter. And I hope you all in Houston were well during the recent weather issues. My question relates to ESG. And I was wondering, given the advances that you have in ESG, do you think that you're developing a structural advantage that will help you win new contracts as you're bringing capabilities to the table that are superior to your competition and a true differentiator?
Sherif Foda: Thanks, Mike. Yeah, absolutely correct. The approach that we have and when we - again, when we launched this in January in Riyadh, is to ensure that we have the tools and the technology to enable the customer meeting those, I would say, not impossible, but uneconomical solution earlier. And that's why most of the customer walked away from all these solutions. I mean, if I look at zero flaring, and I talked about this in many conferences before, zero flaring exists since 1999 as initiative. And today, we are in 2021, and we still flare everywhere. The technology does exist. We just have to make sure that we have the capability and ensure the economic viability to our customer, and that's the differentiation. And that's why we want to package this as the whole portfolio that people can look at the water, climate, et cetera, et cetera. And that's in addition, obviously, that a lot of people are focusing, as you know, on hydrogen and other stuff, which is totally different. What we are saying, we should have the current oil and gas production friendlier. We should be able to do that. We can do that. And that's why we have a differentiation. We have an economic solution today, and that would enable the customer to be able to do that. And obviously, they're smart. Our customers, they understand that very well. They're going to - they will evaluate our technology with our partners versus the others. They will see very clearly that we do have a big advantage. And definitely, we have the infrastructure, and this should give us a very big leeway. That's why I'm very excited about it, not only because of the business, but I think as well, from humanity, we should have that responsibility on making an impact around the communities where we operate.
Mike Cahill: Thanks, Sherif.
Operator: And we have reached the end of the question-and-answer session. I will now turn the call over to Sherif Foda for closing remarks.
Sherif Foda: Thank you very much, and I appreciate the time. And again, extremely excited about 2021, and we are looking forward for our next calls and more meeting. Thank you so much.